Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Korn/Ferry First Quarter Fiscal Year 2016 Conference Call. At this time, all participants are in a listen only mode. Following their prepared remarks, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded for replay purposes. We have also made available on the Investor Relations section of our website at www.kornferry.com a copy of the financial presentation that we will be reviewing with you today. Before I turn the call over to your host, Mr. Gary Burnison, let me first read a cautionary statement to investors. Certain statements made in the call today, such as those relating to future performance, plans and goals, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although, the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties, which are beyond the company's control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and the company's annual report for fiscal 2015 and the other periodic reports filed by the company with the SEC. Also, some of the comments today may reference non-GAAP financial measures, such as constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measure, is contained in the financial presentation and release relating to this call. Both of which are posted on the company's website at www.kornferry.com. With that, I'll turn the call over to Mr. Burnison. Please go ahead, sir.
Gary Burnison: Okay. Thank you, everybody. I think this -- the performance here in the quarter really reaffirms the transformation that our firm is undertaking. It's really, I think, a very, very solid quarter. And more importantly, strategically, I think, really affirms where we are headed and really our vision of being the preeminent global people and organizational advisory. I think we are building a firm that’s redefining the category and supporting the global business community, not only in recruiting top talent, but also with an integrated approach to the entire leadership and people continuing, including org design and development. I think our firm absolutely increasingly owns the people agenda and underpinning everything that we do is research and intellectual property, and I think, our vast library of proprietary tools are really making a difference in people's lives and in the destination of our clients. So, thanks for joining us here. It was a good quarter. Overall, the firm was up 13% constant currency. EBITDA for the quarter was $42 million, about a 15.6% EBITDA margin. EBITDA on an annualized basis would have been about $170 million. Fee revenue came in at about $267 million. Again, on a constant currency, compared to last year that would have been $284 million, so again, currency had a pretty big negative impact on us in the quarter, but in actual, in last year’s dollars it’s been about $284 million. EPS was $0.47. The balance sheet continues to be rock solid. All three lines of business grew. Every practice area has shown strong growth. LTC was up about 14% during the quarter constant currency. Futurestep continues to be a shining star for us. That was up 27% constant currency. And I think one of the interesting things, if you look at the number of consultants that we've brought on, say over the last six months. We brought on 85 new consultants and basically half in Search and half in LTC. So from six months ago we really ramped up our capacity. That’s up about 15% or so from a couple quarters ago. Like I said the LTC business performed very well. The most recent acquisition Pivot has made a real difference for us and with clients and wins. The RPO business continues to perform well. So, all in all, I think, it was a quarter that reaffirms the transformation that we've undertaken. With that, I am going to turn it over to our CFO, Bob Rozek.
Bob Rozek: Thanks, Gary, and good afternoon, everybody. As Gary indicated, demand for our industry-leading talent management services really remains strong in the first quarter of fiscal ’16, with year-over-year growth in all of our major operating segments. Recent investments in consultant hires and innovations to our service delivery platform are really paying dividends for us driving near-term market share gains as well as positioning us for future growth. Gary indicated our fee revenue in the first quarter was $267.4 million, which at constant currency is up $32.5 million or 13% compared to the first quarter of fiscal ‘15. Our revenue mix continues to diversify with slightly more than 43% being generated from services other than executive recruitment in the quarter. Sequentially, also at constant currency, our first quarter fee revenue was down about $4.4 million or 1.6% that was due primarily to the seasonally strong year end uptick activity that we had in the fourth quarter of FY ‘15, which if you recall my last earnings call we talked about, that level of uptick activity did not repeat at the same level in the first quarter in order we expected to and we’re back to a normalized run rate for what we expect in the first quarter. Another positive factor impacting growth in the first quarter was as Gary indicated recent Pivot acquisition that contributed about $5.2 million of fee revenue in the first quarter of ‘16 compared to $3.7 in the fourth quarter of ‘15. If you remember in the fourth quarter of ‘15, we only had them for two out of the three months in the quarter. Adjusting for Pivot, our organic consolidated fee revenue in the first quarter at constant currency grew about 10.8% year-over-year and was down about couple points on a core sequential basis. Turning to new business as expected, Executive Search new business remains strong in the first quarter. Actual foreign exchange rates of worldwide Executive Search new business was up almost 4% compared to the first quarter of FY ‘15 with a number of new assignments up over 9.6% in the quarter. Monthly within the quarter, we started out with weaker confirmations in May and followed that up with record levels of new business in both June and July. On a core sequential basis, our global Executive Search comps were down little over $3 million or 2% with a previously discussed seasonally strong uptick activity in the fourth quarter of FY ‘15. In L&TC, new business awards in the first quarter at actual exchange rates were up about 1.3% year-over-year. And finally Futurestep which achieved another record high for new business in the first quarter with the total dollar amount of confirmed assignment, up 129% year-over-year and up 50% sequentially. In the last two quarters combined, Futurestep has won approximately $137 million of new assignments, which includes approximately $100 million of longer-term RPO and related services work which we expect to recognize into revenue over the next three to four years. Despite the recent surge in investment hiring, I think we did a really good job maintaining profitability in the first quarter. Excluding acquisition and integration costs of about $700,000 and $9.9 million of restructuring charges in the first quarter of last year, our adjusted EBITDA in the first quarter improved $3.8 million or nearly 10% year-over-year to $41.7 million. And compared to the fourth quarter of fiscal ‘15, adjusted EBITDA in the first quarter was up $900,000 or 2.3% with hire -- new hire related compensation expenses more than offset by lower G&A, which impacted the earnings growth in the quarter favorably. Our adjusted EBITDA margin improved to 15.6% in the FY ‘16 Q1 compared to 15.1% in ‘15 in the first and fourth quarters respectively of fiscal ‘15. Again in the first quarter, our total cash and marketable securities were $414 million, up $42 million compared to the first quarter of fiscal ‘15. When you exclude cash and marketable securities that we reserved for deferred comp and bonuses, our investable cash balance is about $237 million, which is up $26 million, or 12%, compared to the first quarter and essentially flat with the fourth quarter of fiscal ‘15. Of that investable cash, balance about 37% resides in the U.S. and yet we consider our working capital needs, our net investable cash position is about $162 million and about 34% of that resides in the U.S. And then finally, excluding all transaction, integration and restructuring charges in all quarters, our adjusted fully diluted earnings per share were $0.47 in the first quarter of fiscal ’16, an improvement of $0.04 or 9% year-over-year. Compared to the fourth quarter of fiscal ’15, the adjusted fully diluted earnings per share were down $0.04 or about 8%. And if recall, this decline was primarily due to a lower tax rate that we enjoyed in the fourth quarter, which resulted in a positive impact to that quarter’s adjusted fully diluted earnings per share of about $0.03 to $0.04. I’m now going to turn the call over to Gregg Kvochak who will review our operating segments in more detail.
Gregg Kvochak: Okay. Thanks Bob. And starting with our Executive Recruitment segment. Globally, revenue for our Executive Recruitment segment remained strong in the first quarter. Our actual foreign exchange rates consolidated Executive Recruitment fee revenue in the first quarter was $152.1 million, which is up $3.7 million, or 2.5% year-over-year and down $4.4 million or 2.9% sequentially. As discussed in our third and fourth quarter earnings call of fiscal ‘15, the current strength of the U.S. dollar continued to have a significant impact on year-over-year growth rates on our Executive Recruitment segment. Adjusting to constant currency, our consolidated Executive Recruitment fee revenue in the first quarter was up $13.1 million, or 8.8% year-over-year and down $4.5 million or 2.9% sequentially. As previously mentioned, the sequential drop in Executive Recruitment fee revenue was primarily a result of seasonally higher year and uptick revenue in the fourth quarter of fiscal ’15, which was down $4.8 million or nearly 22% in the first quarter of fiscal ’16. On a regional basis compared to year-over-year at constant currency, North America grew 10.8%, Europe grew 3%, Asia Pacific grew 7.2% and South America was up over 25%. On a quarter sequential basis, also at constant currency, North America grew 3.1%, Europe was down 9.9%, Asia Pacific was down 14.2% and South America was down 2.1% in the first quarter. Sequential growth in North America was favorably impacted by the ramp up of newly hired consultants. Compared to the first quarter year ago, growth in our Executive Recruitment specialty practices was mixed in the first quarter of fiscal ’16. Worldwide growth was strongest in our financial services practice up 19%, life sciences and healthcare practice up 17% and our technology practice up 4%, while our industrial and consumer goods practices were down 11% and 7% respectively. Financial services accounted for approximately 21% of all Executive Recruitment fee revenue in the first quarter, which was up 300 basis points year-over-year and 10 basis points sequentially. Compared to the fourth quarter of fiscal ’15, our life sciences and healthcare and technology specialty practices grew in the first quarter and were up 3% and 1% respectively. Sequentially, both the financial services and industrial practices were down 2%, while the consumer goods practice was down 7%. Consultant hiring continued to accelerate in the first quarter. The total number of dedicated executive recruiting consultants worldwide at the end of the first quarter was 486, up 44 year-over-year and up 34 sequentially. The 34 consultants, additions from the fourth quarter fiscal ’15 includes 21 net new hires and 13 internal promotions. Annualized fee revenue production per consultant in the first quarter was $1.3 million and was negatively impacted by the lower production of both new hire and newly promoted consultants whose productivity is expected to ramp up over the next few quarters. The number of new search assignments opened worldwide in the first quarter was 1,372, which is up 9.6% year-over-year and down less than 1% sequentially. Consolidated executive search EBITDA in the first quarter was $36.9 million with a 24.3% margin, an improvement of $5 million, or 15.7% year-over-year and $3.5 million, or 10.5% sequentially. On a sequential basis, higher costs associated with new hire consultants was offset by lower G&A expense. Now turning to Leadership and Consulting segment, which generated $69.2 million of fee revenue in the first quarter. Measured on a constant currency basis, L&TC’s fee revenue in the first quarter grew by $8.7 million or 13.7%, with year-over-year growth in every region. Compared to the fourth quarter fiscal '15, also on a constant currency basis, L&TC’s fee revenue was seasonally weaker and down $3.5 million or 4.9%. Recently North America accounted for 72% of total L&TC worldwide fee revenue in the first quarter. Excluding the impact of Pivot on L&TC’s first quarter fee revenue, growth at constant currency was 5.5% year-over-year and down 7.4% sequentially. L&TC also increased investment hiring in the first quarter. At the end of the first quarter, there were 181 dedicated L&TC consultants compared to 164 in the fourth quarter fiscal '15 and 127 in the first quarter fiscal '15. The 17 consultant additions over the fourth quarter of fiscal '15 include 13 net new hires and four internal promotions. Professional staff utilization fell to 68% in the first quarter from a seasonally high of 74% in the fourth quarter fiscal '15 and 70% in the first quarter fiscal '15. Compared to the first quarter fiscal '15, L&TC’s EBITDA in the first quarter of fiscal '16 was up approximately $1 million or 10.3% to $10.7 million, with a 30 basis point improvement in margin. Sequentially L&TC’s EBITDA fell $1.3 million or 11% with earnings growth being negatively impacted by seasonally low fee revenue and recent hiring activity. Finally turning to the firm’s fastest growing segment, Futurestep, which grew for the 11th consecutive quarter and generated $46.1 million of fee revenue in the first quarter. Measured on a constant currency basis, Futurestep’s first quarter fee revenue was up $10.7 million or 27% year-over-year and up $3.7 million or 8.9% sequentially. On a regional basis measured year-over-year at constant currency, North America was up 33%, Europe was up 26%, Asia Pacific was up 13%, and South America was up 97%. Sequentially constant currency growth in North America was 7.6%, while Europe and Asia Pacific were up 8.7% and 9% respectively. Futurestep’s earnings power also continues to grow with fee revenue. EBITDA in the first quarter grew $1.5 million or over 28% year-over-year, reaching $6.8 million with a 110 basis point improvement in margin. Futurestep’s EBITDA margin was 14.7% in the quarter. On a sequential basis, Futurestep’s EBITDA grew 10.9% with a 30 basis point improvement in margin. Now I will turn the call back over to Bob to discuss our outlook for the second quarter of fiscal '16.
Bob Rozek: Thanks, Gregg. After a softer May, new business awards across all of our major service lines improved in June and July. An executive search global new business in both June and July rose to new highs. This trend was especially true in North America where market conditions have remained favorable and newly hired consultants have begun their ramp up towards full capacity. August, which is typically one of the seasonally slower months for new business due to vacations, [indiscernible] was down compared to July. And if normal seasonal patterns hold, we would expect to rebound in executive search new awards in both September and October. Additionally as previously discussed, Futurestep had another record quarter of new awards in the first quarter and should continue with recent growth trend in the second quarter via both consultant new hires and continued focus on major account development are expected to drive growth for L&TC in a seasonally stronger quarter. Given all the above and assuming worldwide economic conditions, financial markets and foreign exchange rates remain steady. Fee revenue in the second quarter of fiscal '16 is likely to range from $267 million to $277 million and diluted earnings per share are likely to range from $0.47 to $0.53. And with that, I will conclude our prepared remarks and we would be glad to answer any questions that you may have.
Operator: [Operator Instructions] Our first question will come from Kevin McVeigh with Macquarie. One moment please.
Kevin McVeigh: Great. Thanks. Hey, congratulations on the results. One thing that really jumped out of me that I will see either margins looked really, really strong for Q1, just wanted to get a sense of how you’re thinking about that relative to the prior investments in hiring? And as they continue to scale, how should we think about the investments from kind of where they, I guess, from a utilization perspective, particularly the new hires?
Bob Rozek: Yeah. Kevin, this is Bob. I guess I would go back to sort of our long-term EBITDA margin goals. If you remember Search is 20 to 25 and I would fully expect Search potential course to top end of that range over the course of the year assuming economic conditions and everything stay consistent. LTC, it takes the folks that are little longer to ramp up and get up to full capacity. But again, they were at 15.6 at the lower end of the range that expect us to be above the midpoint towards three quarters of the weighted high end of that range. And then Futurestep just continues on a nice March. Each quarter, we’ve taken that range up to 13% to 16% and I would guess by the end of this year will be closer to 15, 15.5 range.
Kevin McVeigh: Got it. And then in terms of, obviously it’s seems like business has been pretty strong, does the guidance kind of incorporate any of the uncertainty that’s been in the market over the last couple weeks, like how we….?
Gary Burnison: Yeah. It absolutely does. And we were -- we remain fairly confident and bullish in our guidance but there is noise in China. We’re seeing are they going to raise rates in the U.S. We’re seeing problems down in Latin America and so we bear all that in mind when we come back to our guidance for the quarter. And even though that stuff is weighing us to some extent, we still up year-over-year like 6.5%, you translate that to constant currency and its still low double-digit growth. So I think there is a balance between some level of optimism recognizing the hiring that we made, as well as some of the economic uncertainty we’re seeing in other markets and so on.
Kevin McVeigh: Great. Thank you.
Operator: We’ll go to the line of George Tong with Piper Jaffray. Please go ahead.
George Tong: Hi. Good afternoon. An increase in average fees billed per engagement for exact recruiting in Futurestep contributed pretty strongly to revenue growth this quarter. Can you talk about the fee environment currently and how much you believe these per engagement have further room to increase this year fiscal ’16?
Bob Rozek: Yeah. I would think, George, this is Bob again. I would think that on a constant currency basis, the average fees in search are essentially flatish. So they haven’t really grown. I think when you look at where we are in the cycle and so on. I wouldn't expect there to be enormous uplift coming from average fees at this point, especially with currency over the next quarter. Once we get pass Q2, again in the Q3 where currency starts to become less of a factor, because we’re lapping ourselves, we may see a little bit of that. But we’re more focused on the level of units that we’re doing, which is up 9.6% year-over-year, as well as getting the recent hires up to full capacity. Ours is more of a volume. We see more coming from volume than average fees.
George Tong: Got it. And you saw a 12% increase in average headcount this quarter compared to last year? Can you talk about plans to have for additional hiring and comment on productivity from past hiring cohorts?
Gary Burnison: Well, we’re all -- we’re in the business of talent like any company is and we are always looking to both promote from within and grow from hiring. We've consistently done that. And over the last six months, we've made a concerted effort to add to our talented colleagues and the Leadership business and the Search business. So we would -- you look at those and that’s about 85 consultants in total between the two business segments. The LTC, as Bob said, it takes a couple years for those folks to generally ramp up to what we would think would be normalized productivity levels and the Search would be somewhat less than that. So we are going to continue to attract talent to the firm and both firm promoting from within and also hiring from the outside.
George Tong: Great. Thank you.
Operator: We’ll go to the line of Tobey Sommer with Suntrust. Please go ahead.
Tobey Sommer: Thanks. Start out with outsized growth at Futurestep? Could you maybe describe the growth within the RPO type businesses in the markets, if there is a difference between the two? And then maybe talk about what factors you think are driving what appear to be market share gains at this stage with Futurestep? Thanks.
Bob Rozek: Yeah. Tobey, this is Bob. I think if you go and you look at the growth, we are getting growth, really good growth in both the market piece, which I refer as the single Search side, as well as the RPO, if you go -- even if you go back to last year, the business grew over 20% and both of those categories contributed to that growth and that continuing in Q1. I think, on the single Search side, a good of the portion of the success, Byrne has made some real good hiring decisions into that business, as well as our strategy of cross line of business referrals with executive search able to refer quite a bit into Futurestep single search. And we are seeing some of that on the RPO side, as well as the fact that, in this business I'll say success, we get success toward the more success we have more fast we get, more demonstrated ability that we put forth the more success we have. So, I think, Byrne has this business on really good cadence right now and when you look at some of the hirings done on the RPO side, as well as some of the intellectual property development that we've had over the course of the past with our KF 4D that he's putting into that line of business. I think those are the really the attributes that you are seeing result in the outsized growth.
Tobey Sommer: Okay. And maybe question for Gary, P&L has been performing well and you have been investing to fuel further growth, yet for returns on capital, et cetera, that the balance sheet still is relatively underutilized? Could you speak to what you have planned to kind of rectify that overtime?
Gary Burnison: Well, I think, our return on capital this quarter, what was it Gregg, 11%, 12%?
Gregg Kvochak: 12%.
Gary Burnison: Yeah. So this quarter it was about 12%. Our cost to capital is probably 11% or so. So we are pretty mindful of that as you indicated. Our playbook continues to be the same to number, one, invest in the business, I really believe that this is a multibillion dollar opportunity. You talked about Futurestep market share gains. That -- I don't know if that is market share gain. That is -- that market is 10 times the size of the Executive Search markets. So I would hope that there is runway there. But our -- listen, we are pretty mindful of that and if we are not returning the cost to capital then, we are going to do something about it. So I am not going to go beyond that, except that as you said, the balance sheet is pristine. It’s probably under lever and we are very, very aware of that.
Tobey Sommer: Okay. And then, just from a big picture standpoint, my last question, Gary. What is the, I guess, the esprit de corps like at the firm relative to, you’ve been working in this role and other executive roles for a long time now. So just wondering on your perspective on how it feels at the company versus other periods in your tenure?
Gary Burnison: Feels from what perspective?
Tobey Sommer: What the employees at Esprit de corps at the firm and compared to other periods of time that you worked there?
Gary Burnison: Well, I think the -- I think we're all trying to be very urgently patient. I think that we have this insatiable appetite to the use this brand to become the people advisor. I think that you know people are engaged. I think that that we've demonstrated that we can take the Flagship Search business and add adjacent kind of solutions. And it would fuel deeper relationships with clients. So I think it’s urgently patient fired up and insatiable appetite to learn and to grow. And it feels pretty good to me.
Tobey Sommer: Thank you.
Operator: [Operator Instructions] We’ll go to the line of Mark Marcon with R.W. Baird. Please go ahead.
Mark Marcon: Good afternoon. Add my congratulations. With regards to all the news that's been out with regards to Asia, specifically China. Can you tell us a little bit about what you're seeing in your Hong Kong offices, anything that would be impacted by China? What are you seeing over there?
Gary Burnison: The China business is about 2.5% of the firm. So it’s relatively small percentage but you know we do have pretty good line of sight. I think it's really too soon to tell. In terms of my channel checks, there is nothing that would kind of ring an alarm bell here per se. We haven't seen deterioration in their appetite for talent. Our China Search business is essentially, if you look, year-over-year, it's going to be flat to up a little bit. The Futurestep business in China year-over-year is going to be up about 16%. So we haven't really -- haven't really seen it. And -- but I would also say Mark, it’s probably too soon to tell.
Mark Marcon: Right.
Gary Burnison: Given the holidays.
Mark Marcon: I was just wondering like what your clients or what your consultants are telling your clients, not only in China but say Australia, Hong Kong, Singapore?
Gary Burnison: Our Australian business is actually up. Quite considerably, year-over-year, so all of the data points, they kind of point at each other, right. So we haven’t really seen anything that would say we should be ringing an alarm bell, Mark.
Mark Marcon: Great. And then with regards to -- with regards to really positioning yourself as a multi-line provider. Can you talk a little bit about some of the engagements that you're getting where there is some significant pass on?
Gary Burnison: The engagements range from culture shaping kind of assignments to leadership development to creating more engaged and inspired teams. That would be kind of three examples. You know I think of a major organization were very, very prominent, you would know it and were being asked to really help shape the culture and align the culture to the business strategy of this organization. So it ranges from the very high-ended search to that kind of RPO activity now that is really around professional workers. And on the leadership development side, it’s from succession to the teambuilding to culture shaping, obviously, assessment is a pretty big piece of it as well.
Mark Marcon: Great. And on the RPO side, you mentioned the amount of business that you won. Can you talk a little bit about like how that layers in, obviously some of the RPO contracts, takes a while to settle that up?
Gary Burnison: Yeah, it does. And I would say that the RPO and the Futurestep work has been particularly strong in North America. Again, it's been good in Europe and Asia but real strengths in North America and it layers in over 4 to 12 quarters, so it's not necessarily overnight. I will think of a -- one of the things we have seen is a nice uptick in financial services, now admittedly off a little base. When you look out at it, it really is around commercial, consumer banking, insurance. But one of the RPO projects that came to mind when you ask the question is a large commercial bank that ask us to put in many, many kind of bankers in a relative short amount of time and that was done over the last quarter or so. So it’s generally, I would say North America has been a big, big tailwind and it's really been professional knowledge workers.
Mark Marcon: Great. And then just to go back to something that Bob was talking about. Just with regards to the target margin levels, I got it for executive search and for Futurestep but I didn’t get it for L&TC.
Bob Rozek: Yeah. Our L&TC target range is somewhere between 15% and 18%. Last quarter, we were at 15.6%. There is a little bit of downward pressure from the hires that Gary referred to that we made. But we expect that to back over 16% by year’s end.
Mark Marcon: Great. Thank you very much.
Operator: And our next question will come from the line of Tim McHugh with William Blair. Please go ahead, sir.
Tim McHugh: Yes. Thanks. Most of my questions have been asked but just on Leadership & Talent Consulting. I guess you mentioned that the long ramp up period, I guess but in the interim how do you get comfort there I guess? You’ve added a lot of people and you are adding the right people I guess. Can you talk a little bit about that because obviously headcounts growing. It really picked up in the last six to nine months but we are not really seeing an organic growth at this point.
Gary Burnison: Well, listen, it is definitely and I think this is very consistent with what we have said. It’s a much slower ramp for those types of individuals. I think that what you have to believe -- well, number one, the market opportunity is there and I think that anybody would look at that space, how a CEO creates a motivated, inspired, engaged and developed and compensated workforce. And you would say that is $50 billion to a $100 billion, there is a market there. You’d also say that it is extraordinarily fragmented. In terms of our success, you would have to believe that we can bring these people in and that we can have them learn our IT and the different kinds of solutions that we have. And then you would also have to believe that the search channel would be very advantageous to those people and I think that our past history demonstrates that yes, we can onboard them, we can train them in their solutions and that the search channel is extremely, extremely effective. When we look at it, you will find that, kind of quarter-on-quarter, 60%, 70% of whether the Futurestep or the LTC business, it comes from the access that the brand provides. So, I think that we've demonstrated that we can do all the things you’d have to believe to say could this be a billion-dollar business on its own? I think you can, but again it is not a question of just, a quarterly snapshot of this. And I think it’s probably not an industry that grows at 15% or 20%, that’s probably not what the characteristics of the leadership business are in the marketplace.
Bob Rozek: I guess I would just highlight at couple of points. So Gary mentioned the onboarding, we have significantly stepped up our onboarding efforts in that line of business to help the individuals with the ramp and with the view that by investing into onboarding process, we can shorten the timeframe to full productivity. And the other thing we do too is, quite honest we very closely monitor and manage by person what they are doing, what their new business levels are. So I think with the assistance we give them on the way in and the close monitoring and management throughout their time here, I think we accomplished everything that Gary talked about.
Tim McHugh: Are you doing anything different versus nine months ago I guess assigned to people? Or how are you identifying people, given how much the corporate edge and the headcount?
Gary Burnison: Well, I think that we have been much more aggressive and you go about say a year ago and I had it as a personal goal, but I wanted to add a 100 more LTC partners I go back to last August and we only got 40% of that. But we are -- we’ve certainly for quite some time have turned up the heat in terms of bringing people in. We haven’t necessarily changed the places we are looking for. But I think that this is a business that is, it’s very, very fragmented. And quite frankly, there needs to be somebody who defines a category here. And just like when CEOs turn to McKinsey or Bain for strategic advice, they don’t have a firm to turn to when it comes to people advisory. And I think that that is the opportunity to define the category to be that firm and that is a multibillion dollar opportunity for us.
Tim McHugh: Okay. And my last question I guess. Mark asked about Asia. But in Europe, given the volatility with based on everything and the revenue, it wasn’t quite as strong I think as it delivered in the last year or so. I know there is an account. But does Europe differently at all from a demand perspective have been three to six months ago to you guys?
Gary Burnison: Again, it’s a little bit hard because we’re only eight days into September right and people are literally just back from holiday, so it’s hard to give a clean read on that. But I would say that, no, it doesn’t. Obviously, the next 30 to 60 days, we’ll have much better visibility on that question. But no, I don’t think that the feeling is significantly different.
Tim McHugh: Okay. Thank you.
Operator: Mr. Burnison, there is no further questions at this time. I’ll turn the call back to you for final comments.
Gary Burnison: Okay. Well, thank you everybody for joining us. And again, we’re very, very proud of the quarter. And I really do believe that there is an opportunity here to define a category and that is how we're looking at it. And this organization is absolutely committed to make a powerful impact on people and organizations and at the same time producing positive returns for our shareholders. So with that, thank you very, very much. And we'll talk to you next time.